Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Babcock & Wilcox Company Second Quarter 2013 Earnings Conference Call. [Operator Instructions] I would now like to turn the call over to our host, Ms. Jenny Apker, B&W Vice President, Treasurer and Investor Relations. Please go ahead.
Jenny L. Apker: Thank you, Frances, and good morning, everyone. Welcome to the Babcock & Wilcox Company's Second Quarter 2013 Earnings Conference Call. I'm Jenny Apker, Vice President, Treasurer and Investor Relations at B&W. Joining me this morning are Jim Ferland, B&W's President and Chief Executive Officer; and Tony Colatrella, our Chief Financial Officer. Many of you have already seen a copy of our press release issued last night. For those of you who have not, it is available on First Call and on our website at babcock.com. During this call, certain statements we make will be forward looking. I want to call your attention to our Safe Harbor provision for forward-looking statements that can be found at the end of our press release. The Safe Harbor provision identifies risk factors that may cause actual results to differ materially from the content of our forward-looking statements. Our annual report on Form 10-K and quarterly reports on Form 10-Q, on file with the SEC, provide further detail about the risk factors related to our business. Additionally, I want to remind you that, except as required by law, B&W undertakes no obligation to update any forward-looking statements to reflect events or circumstances that may arise after the date of this call. Also on today’s call, the company may provide non-GAAP information regarding certain of its historical and future results, which should not be considered superior to, or as a substitute for, the comparable GAAP measures. B&W believes the non-GAAP measures provide meaningful insight into the company's operational performance and provides these measures to investors to help facilitate comparisons of operating results with prior periods and to assist them in understanding B&W's ongoing operations. A reconciliation of these non-GAAP measures can be found in our first quarter earnings -- in our second quarter earnings release issued last night and in our company overview presentation posted on the Investor Relations section of our website at babcock.com. Due to the number of participants on today's call, I would ask that you limit yourself to one question and, perhaps, one follow-up. You are, of course, welcome to get back into the queue. And with that, I will turn the call over to Jim.
E. James Ferland: Thank you, Jenny. Good morning, everyone. We're pleased to report the 11th consecutive quarter of year-over-year growth in consolidated revenue for the company. For the second quarter 2013, consolidated revenues were $886 million, an increase of 3.9% compared to the prior-year second quarter. Bookings in the second quarter were $766 million, a 25% increase compared with the same period last year. And the total backlog at June 30, 2013, was approximately $5.4 billion. Adjusted consolidated operating income, which excludes the impact of GCI restructuring costs, for the second quarter of 2013 was $111 million compared to $110 million in the second quarter of 2012. The Nuclear Operations Group posted an approximately $10 million increase in operating income, primarily as a result of long lead time material procurements, which drove higher sales and operating margins, and higher margins on downblending contracts at Nuclear Fuel Services in the quarter. mPower operating income improved by almost $32 million due to recognition of the cost sharing award from the DOE. Partially offsetting these increases, the Power Generation group operating income decreased approximately $28 million in the quarter compared to the corresponding period in 2012, primarily driven by additional contract losses of $30 million related to a biomass boiler project. Without this project loss, our generation operating income would've been better than last year by almost $3 million. Earnings of the Nuclear Energy segment decreased by $12 million in the quarter, attributable to an $18 million contract claim settlement recognized in the second quarter of 2012. Tony will discuss the segment results in more detail shortly. In the second quarter, the company generated $0.72 in adjusted earnings per share, excluding GCI restructuring charges, compared to earnings per share in the second quarter of 2012 of $0.65. During the quarter, we repurchased 2.5 million shares of common stock at a cost of approximately $69 million. Through June 30, 2013, we have repurchased a total of 8.5 million shares at a cost of approximately $222 million, leaving an additional $278 million of capacity for share buybacks under our $500 million repurchase authorization. Let's move to a discussion of the overall energy environment and to its impact on our commercial segments. President Obama's climate action plan has sparked a renewed dialogue about the future of coal and natural gas for electricity generation, as both are greenhouse gas emitters. From our perspective, there are both positives and negatives in this plan for B&W. Directionally, we would expect to see increased federal spending on research and development of carbon capture and sequestration technologies, for which we are well positioned with a number of potential solutions. Any clarity the plan could add in regard to the pricing of CO2 in the U.S. marketplace would likely benefit our emissions-free generation technologies, including nuclear. On the other hand, the plan could complicate utility decision-making in regard to future capital investments and their operating coal fleets. In any case, we see the President's plan as a first step in what will be a lengthy process involving multiple stakeholders. We plan to remain involved in this discussion in Washington to ensure our views are represented, and we incorporate potential policy decisions into our long-term corporate strategies. Moving from greenhouse gases to other environmental regulations. In June, the Supreme Court announced that it will review the District Court's August 2012 position to vacate the EPA's Cross-State Air Pollution rules. The ruling last summer prompted Utility to delay spending on equipment that would reduce SOx and NOx emissions in their coal-fired plants and, accordingly, pushed out B&W's opportunity to provide this environmental equipment. Ultimately, we believe the timing of revised regulations remains at least 1 to 2 years away. On a positive note, for the first 6 months of the year, coal produced 39% of U.S. electricity output, up from 35% for the same time period last year. This resulted primarily from an increase in the price of natural gas. For B&W, this translated into an improvement in replacement part sales, which you have seen this quarter, and eventually, we believe this will have a positive effect on our service project revenue. Moving to some specific company items. We're pleased to announce that our Indian joint venture has received its first project award, a boiler island unit to be manufactured and constructed in India. The size of this first project is approximately $180 million. There exists the potential for a second unit to be added to this contract. I also wanted to commit to give you some additional detail and thoughts on the $30 million PGG project loss during the second quarter. This loss is in addition to approximately $15 million of net losses we recognized on this project in the fourth quarter of 2012. The project is a biomass-fired power plant being built on a brownfield site, and the project included the conversion of an existing B&W boiler that had been taken out of service in 2006. The core B&W technology required for this project is squarely in our wheelhouse, and the design and construction of the boiler and environmental equipment have gone well. Unfortunately, we encountered issues related to the balance of plant work scope, primarily undisclosed subterranean site conditions that have required significant, unforeseen several related activities that resulted in a substantial increase in site preparation costs, combined with the consequent schedule delays and labor inefficiencies. The scope of the project, in particular the extension of the work beyond the boiler and environmental equipment, is unique for B&W, as we typically only take on this work with an experienced EPC partner in a JV or consortium relationship. In this case, we undertook this project in 2011 in an effort to expand into a broader business line. Since that time, we have reevaluated our approach to these types of projects and plan to seek JV or consortia partners for scopes outside B&W's traditional areas of expertise. To that end, we've reviewed every project in the Power Generation portfolio and confirmed that there are no other projects where B&W has taken responsibility for the extensive balance of plant scope we encountered on this project. As of this week, the project is approximately 91% complete, and we believe we have appropriately reserved for known and anticipated financial exposures on the project. We expect to achieve substantial completion of this project in the fourth quarter of this year. We have filed significant claims with our customer and will aggressively pursue the fair resolution of these claims. Any recovery of these additional losses will be recognized in a future period. Performance in the Technical Services group is modestly exceeding our internal expectations for the business for this year. Sequestration, thus far, has had only a minimal impact on the operations at the sites at which we were involved, and there have been notable performance improvements at a number of our sites, which could result in potential increases in project scope or contract extensions. As you probably read, NP2, the consortium in which we have bid for the combined Y-12/Pantex contract, filed a second protest with the GAO regarding the process associated with NNSA's response to the GAO's recommendation when the GAO upheld our first protest. The GAO's response to the second protest is due on or before September 25. B&W continues its leadership role in managing both Y-12 and Pantex under the existing contracts and remains focused on operating both sites safely and securely. At this point, we expect we will continue to do so at least through the end of 2013. During the second quarter, the mPower program received more than $37 million in cost share funding under the DOE's small modular reactor program. We're pleased to have this award to support our continued investment in the development of our SMR technology. As we've been doing throughout the company, we are rigorously evaluating and managing spending on the mPower program, including both R&D expenses and business development and administrative costs. Through prudent cost management, we expect to lower the company's net spending in mPower for the full year compared to our previous guidance by approximately $5 million without significantly impacting mPower's ability to achieve the program's targeted milestones. We remain engaged with supporters of this program in the DOE and in Congress to ensure that the 2014 budget includes maximum funding and to identify other potential sources of government funding for mPower. We also continue to have constructive dialogue with a number of potential strategic investors. Bringing new partners into generation mPower is clearly a complicated process that will take more than a few months to complete. Challenges include the sharing of risk, agreement on valuation, as well as each partner's scope and return expectations. SMR technology and mPower, specifically, have been getting a fair amount of positive exposure over the past few months, including a call-out in the President's climate action plan. We continue to be encouraged by the level of interest in mPower in the U.S. and globally. Our global competitiveness initiative is progressing very well, and we're seeing a cultural change with a focus on efficiency in all of our operations. A number of actions were taken toward the end of the first quarter and during the second quarter that are already delivering operational benefits and realized cost savings. In addition, we've identified several other opportunities to improve efficiency and effectiveness while lowering costs, for example, in IT and supply-chain, that we expect will enhance the impact of the GCI program. As a result, we expect that cost savings realized in 2013 and annually, when complete, will be above our original targets, up $10 million to $15 million for 2013 and $40 million to $50 million for the full year periods. In the second quarter, we recognized $12.2 million of restructuring charges associated with this program, in line with our expectations. Now, Tony will discuss segment results and other financial matters.
Anthony S. Colatrella: Thanks, Jim. Revenues in the Power Generation segment for the second quarter of 2013 were $471.2 million compared to $497 million in the second quarter of 2012, a decrease of 5.5%. An increase in new build environmental projects, particularly SCRs and particularly with controlled devices, was offset by lower revenue from new-build steam generation systems and aftermarket services. Revenues from environmental systems increased 22.3% in the second quarter of 2013 compared to last year's second quarter. New-build steam generation systems revenue decreased 24.4%, largely due to revenue adjustments made in accordance with percentage of completion accounting on the biomass project that Jim discussed earlier. Aftermarket services revenues were lower than last year by 5.2%, primarily due to a lower volume of environmental retrofit and rebuild projects, which were partially offset by an increase in boiler-related aftermarket retrofit and rebuild projects, parts and services. Operating income in the Power Generation segment, including the equity income of our global joint ventures, was $30.5 million in the second quarter of 2013 compared to $58.1 million in the same period last year. The decrease in operating income is more than explained by the $30.2 million in contract losses discussed previously. Decreases in income due to lower revenues were partially offset by lower selling, general and administrative expenses attributable to ongoing cost-reduction initiatives and higher equity income of $2.1 million, primarily from our joint venture in China. Again, with the exception of the project loss recognized this quarter, Power Generation delivered a good quarter in terms of both operating income and margins. Backlog in Power Generation was $2.3 billion at the end of the second quarter 2013 compared to $2.6 billion a year ago. Bookings in the quarter totaled $490.3 million versus $374.8 million in the second quarter of 2012, reflecting improvements in new build environmental equipment orders and the receipt of the full notice to proceed on a previously awarded waste-to-energy project. The bid pipeline was approximately $2.5 billion at the end of the quarter. Nuclear Operations segment reported record second quarter revenues of $331 million, an increase of $65.6 million or 24.7% from the second quarter of 2012. A significant portion of this increase was due to the timing of long lead time material procurement related to future components fabrication. Adjusting for the timing of the material deliveries, the growth rate in the Nuclear Operations business should remain solid in the mid single-digit range. Nuclear Operations segment operating income, which was also an all-time record, was $65.7 million in the second quarter of 2013, an increase of $10.3 million compared to the same period in 2012, primarily due to the increased revenue and improved performance on naval nuclear fuel and downblending contracts at NFS. Backlog in Nuclear Operations was $2.8 billion at the end of the second quarter, down slightly from $2.9 billion at June 30, 2012. Revenues for Nuclear Energy were $63.2 million in the second quarter of 2013 compared to $67.4 million in the second quarter of 2012. Nuclear Energy segment operating income was $7.9 million in the quarter versus $20.3 million in the prior year period. In the second quarter of 2012, both revenue and operating income benefited from an $18.1 million contract claims settlement. The impact of last year's claims recovery was partially offset in the quarter by increased activity in the Nuclear Services business and maintenance and project services revenues. Similarly, the decrease in operating income in the quarter as compared to Q2 of 2012 was partially offset by the higher impact of higher -- by the impact of higher volume and operating margins, together with reduced warranty expenses. Technical Services segment revenues in the second quarter of 2013 were $27.4 million, down 3.2% compared to $28.3 million in the prior year. Operating income of $15.2 million decreased $3.7 million in the quarter compared to the second quarter of 2012. This decrease is primarily attributable to lower estimated award fees and costs related to the restructuring of a contract, partially offset by lower SG&A expenses due to ongoing cost control efforts. In addition, the 2012 period included a $1.2 million gain from the sale of our interest in a joint venture associated with the maintenance and operations of the strategic petroleum reserve. mPower segment operating income increased $31.6 million to a loss of $1.1 million in the quarter compared to a loss of $32.7 million in the second quarter of last year. The improvement in operating income was primarily due to the recognition of $37.8 million of the cost sharing award from the DOE under the Cooperative Agreement as a reduction in R&D costs. The cost sharing amount recognized includes $21.5 million of pre-award cost reimbursement for qualified costs incurred for the 6-month period prior to April 1, 2013. Excluding the impact of the DOE award, R&D activities related to the continued development of mPower increased quarter-over-quarter by $4.3 million. The effective tax rate for the second quarter of 2013 was 29.8% compared to 34.7% for the second quarter of 2012. This lower rate in the quarter was primarily due to the impact of implementing a number of tax optimization strategies. For the full year, we expect the effective tax rate will be in the range of 30% to 32%. The company's cash and investments position net of debt was $358.7 million at the end of the second quarter of 2013, a decrease in the quarter of $56.2 million. Uses of cash in the second quarter of 2013 included pension contributions of $15 million and $78 million to fund our share repurchase and dividend programs. Now I'd like to address our expectations for the balance of the year. We now expect revenue for the year will be between $3.4 billion and $3.5 billion, which is a slightly narrower range than we had previously disclosed. We are affirming guidance for adjusted earnings per share in 2013 within the range of $2.25 to $2.45 per share. That said, there are a few changes to the assumptions that get us there. We are forecasting better results in our 2 government segments and in mPower, offset by weaker performance in the commercial segments. We're also participating greater GCI savings and a lower effective tax rate, as I earlier mentioned, for the year than previously forecast. Now let me turn the call back over to Jim for some final remarks.
E. James Ferland: Thanks, Tony. With strong performance across the business units and prudent cost control, we were able to offset a significant problem project and exceed Q2 performance in 2012. Nuclear Operations performance for the quarter was strong and steady. The underlying performance of Power Generation, except for the single lost contract, was strong in a somewhat challenging market condition. Technical Services exceeded our internal expectations against a backdrop of sequestration concerns. And our cost savings efforts under GCI are realizing better results than originally outlined. As Tony mentioned, we're holding earnings guidance for the year. To add a little more detail, without a favorable claim resolution on the PGG biomass project, we expect to be in the lower half of the guidance range, and the upper half of the range with a favorable claim resolution. We continue to take actions that enhance the growth of our business, improve profitability and, ultimately, increase shareholder value. That concludes our prepared remarks. I will now turn the call back over to Frances, who will assist us in taking your questions.
Operator: [Operator Instructions] Our first question will come from the line of Tahira Afzal from KeyBanc.
Tahira Afzal - KeyBanc Capital Markets Inc., Research Division: I guess my first question is, you've had several positive developments that you've highlighted on the call. And I guess I'm just surprised that you're guiding to the lower end of the range even with a favorable -- or even to the -- just the upper end of your guidance with a favorable settlement or claims settlement even though, incrementally, it seems there've been a couple of things that have improved since then, including Y-12 maybe contributing a little more than you had thought. And GCI, et cetera, working out better for you, and mPower. So I guess, my question is, is there anything outside of this project that has influenced this change?
E. James Ferland: No, Tahira, there's really nothing that we haven't already discussed that has changed. Just a couple of thoughts, and then I'll ask Tony to add on to the answer, is we are doing quite a bit better than we had originally anticipated on the GCI front. That said, the majority of that upside is in the future. We're recognizing a little bit of that in 2013, but a lot more of that upside's 2014, 2015. NOG is strong and steady, and there may be a little bit of upside in TSG through Y-12/Pantex, as you mentioned, but not enough to offset the ups and downs, including the project loss that we discussed on the biomass project in PGG. So we're comfortable with the lower end of the guidance range without a project settlement. And if we can conclude a settlement with a customer by the end of the year, perhaps the upper half of the range. Tony?
Anthony S. Colatrella: I don't have a whole lot more to add. I just would mention that although we are extraordinarily pleased with the performance of the Nuclear Operations group, we did have more long lead time material fall into the quarter than would be typical. So that was a benefit within the quarter, but it's a bit ahead of what you'd expect to see -- we'd expect to see for the balance of the year. And so we put all that together. On balance, we're comfortable where we are right now, which Jim has already indicated.
Tahira Afzal - KeyBanc Capital Markets Inc., Research Division: Got it. Actually, that's very helpful. And the second question I had was more on the macro side. Jim, if I try to read into your earlier comments on the coal power plant side, we've seen a couple of utilities through this earnings period, and as well as really following Obama's call and really announced some coal power plant retirement schedule for 2015. During the past, you've talked about coal power plant retirements being more focused on some of the smaller plants. Has anything incrementally changed in terms of the utility headlines you've seen so far? Or is your view largely intact?
E. James Ferland: Tahira, our view is largely intact. A couple of the power plant retirements, especially the supercritical units, were a little bit surprising to us, given market conditions. We'll see if those units actually come offline or they're mothballed so that they can come back online as gas prices rise and electricity prices rise moving forward. But largely, our expectations remain intact, and we continue to see some small upside in PGG going forward, but it's not quite the robust market we all had hoped for a couple of years ago.
Operator: You're next question will come from the line of Andy Kaplowitz from Barclays.
Andrew Kaplowitz - Barclays Capital, Research Division: Jim, so you had a good quarter in bookings here in Power, and you had talked last quarter about just timing of a few projects, maybe 3 or 4 of them. Is that basically what you've booked in the quarter, the 3 or 4 projects? And would you expect the balance of the year to still be pretty good? Could you have a book-to-bill of 1 in the second half of the year? Or is it maybe just lumpy here?
E. James Ferland: It's pretty lumpy. First quarter was light, second quarter in Power Generation was better, as you indicated. As we look forward and try to estimate when various customers are going to make decisions, it's a little bit difficult to predict and we continue to see lumpiness into Q3, Q4.
Andrew Kaplowitz - Barclays Capital, Research Division: Okay, that's fine, Jim. And then just talking about the risk on the boiler -- the biomass project that you mentioned. 91% done is pretty far. You mentioned it will be done by the end of the year. I sense a hint of conservatism still around the project itself, and so maybe you could talk about that. Should we be concerned of still some drag from this project in terms of future issues even though it's mostly done? Or does it really seem like you've got the worst behind you now?
E. James Ferland: Well, we believe that we're properly reserved for the project at this point. That said, it would be better if the project was 99% done than 91% complete, but we do feel good that we're making progress on the project. The majority of the site's civil work is now complete. We're finalizing the last of the electrical work and we're moving into startup and commissioning, which is a good thing. That said, this project very much has our attention. I mentioned that on the core boiler island in the environmental work scopes, we've performed that work very well. Where we struggled on this project was unforeseen underground conditions at the site and then the ripple effects that causes as you try to recover schedule and you try to work various items on-site at the same time to play a little bit of catch-up.
Operator: Your next question will come from the line of Jamie Cook from Crédit Suisse.
Jamie L. Cook - Crédit Suisse AG, Research Division: And sorry, I just want to -- another clarification on the guidance. If I just look at what you guys did x GSI in the first half, it's $1.18, right? And you had $0.20 headwind from a problem project. So that puts you more at $1.38. Your implied guidance in the back half of the year implies, at the midpoint -- and I understand the puts and takes of $1.17. So I guess, I'm just really trying to understand second half versus first half, what's getting that much worse, assuming we don't have another issue on a project?
Anthony S. Colatrella: I'm not sure that anything's getting all that much worse. And without getting my financial book out here to look at the various quarters, I would say the second half performance should remain fairly steady, but it could be lumpy quarter-to-quarter where there is -- there are timing differences on projects. One of the things that may be worth mentioning is that, we look at our Q2 operating margins, there is an impact for, obviously, from the loss on that contract. But we also had to adjust our percentage of accounting, the revenue side of the percentage accounting. So the margins that we earned in the quarter were roughly in the range of 11% for PGG and not higher. So very good performance, but perhaps not as high as some of you may have thought, who hadn't thought through the implications of having to adjust the revenue downward in the quarter based on percentage of completion accounting. In terms of the balance of the year, there's nothing that stands out as a specific headwind, if you will. And we continue to see benefits build from GCI, but the market conditions are tough. And we're on our internal plan, and I think that's probably the most important thing to say, and comfortable with the guidance we've given.
E. James Ferland: Yes. I would agree, Tony. The only thing I'd add, Jamie, is just in particular on NOG, NOG did have a very strong second quarter. Some of that was timing-driven where we had some, as Tony mentioned before, some long lead material moved into Q2 that normally would've been spread out over Q3 and Q4 and actually some future periods beyond that. So a little bit of a -- it's timing in Q2.
Jamie L. Cook - Crédit Suisse AG, Research Division: Or more. I'm sorry, and I might have missed it in your prepared remarks, did you quantify how much the pull-forward was?
E. James Ferland: No, we haven't.
Jamie L. Cook - Crédit Suisse AG, Research Division: Can you quantify how much the pull-forward was?
Anthony S. Colatrella: I don't think so, Jamie.
Jamie L. Cook - Crédit Suisse AG, Research Division: But I'm assuming it's material, or somewhat, or?
Anthony S. Colatrella: Well, it's not insignificant, that's for sure, or we wouldn't be mentioning it. But again, it's lumpiness between quarters. I think that what you should assume is the energies result would still have been very good in the second quarter. They were a bit higher than normal because of the extra revenue we generated and the margin drop-through from that. And I think from that, you could presume that if you pull that out in Q3 and Q4, you're on a more normal trend.
Operator: Your next question will come from the line of Will Gabrielski from Lazard.
Will Gabrielski - Lazard Capital Markets LLC, Research Division: Just a follow-up on what Jamie was asking and your comments on the Power margin. I guess, as we think about the back half of the year in PGG, though, I would assume additional GCI savings. So should we think about that 11% as kind of the run rate, and then start thinking about additional GCI and thinking that margin should continue to creep higher?
Anthony S. Colatrella: Let me take a whack at it, and then if perhaps Jim wants to jump in afterwards. The long and short of it is I want to remind everybody that our Q1 was really -- our operating margin was in the low 7% range in Q1. And we indicated at that time that it was timing of project true-ups and a less-robust contract mix than we expected in future quarters. The catch-up was in Q2. So I look at it -- when I look at it, I put the 2 quarters together, and again, adjusting for the losses on the contract, both in terms of the bottom line impact within the segment as well as the top line impact, our year-to-date operating margin in PGG is running right around 9.5%. And we expect that margin to, perhaps, slightly improve in the second part of the year. But when we look at it overall, as we've said since our guidance at the -- when we did our Q4 results, we expect to be in the lower half of the 9% to 12% range due to competitive market conditions and where we are in the cycle, and that really remains unchanged.
Will Gabrielski - Lazard Capital Markets LLC, Research Division: Okay. And then on the pricing you're seeing in some of these new wins in the power market, I guess, an update on what the pricing looks like. And then specifically in India, on the first big win there, what does the risk look like? Or do we -- how do we need to think about that versus your typical terms and conditions on a traditional North American job?
E. James Ferland: To your first question, it remains a competitive marketplace worldwide for PGG. So pricing has not changed or margins have not changed significantly on the new project wins compared to the last couple of years. In particular, in India, it is our first project. And we would expect, and we're paying an awful lot of attention to initial startup and manufacturing challenges as we get our new manufacturing facility online and operational. And you would normally expect the first contract not to be a high-margin contract, and that is the case with this first contract in India.
Will Gabrielski - Lazard Capital Markets LLC, Research Division: But not just on the margins. I'm asking more on the terms and conditions around the risks you're assuming, not just on the pricing. Is there anything unique?
E. James Ferland: From a terms and conditions -- no, I understand. From a terms and conditions standpoint, it's a pretty traditional work scope for us. There's a boiler island, some environmental work and site construction. We have a very good partner in Thermax, who has an awful lot of experience on the ground in India with the site construction, and they actually have quite a bit of experience manufacturing in India as well. So it's a pretty traditional contract for us in terms of both scope and terms and conditions. That said, each country is a little bit unique from a terms and conditions standpoint. India's no exception.
Operator: Your next question will come from the line of Bob Labick from CJS Securities.
Robert Labick - CJS Securities, Inc.: I just wanted to stick with the India for a second. Could you talk a little bit about the environment overall for projects in India and in China over the next several years, how the international PGG is looking right now?
E. James Ferland: We continue to see upside internationally in PGG. And you will see us, over the next couple of years, continue to focus on building our international team and our international expertise, probably on a regional basis. In India, in particular, a little bit of a slowdown in India compared to what we had projected a couple years ago when we initially made the investment in the manufacturing project with Thermax. That said, there are opportunities in India. There was a -- for the last year or so, it's been very slow. We're beginning to see some of those opportunities open up as the government works through its various internal processes, and it frees up both land and coal. Those are typically the 2 hold-ups in India, availability of land and working your way through the government processes. And then, #2, it seems as if the ability to build the coal plants is sometimes a little bit ahead of the availability of coal to actually build, to actually burn in the coal plants, and that seems to be catching up a little bit as well in India. So we're hoping to see some more projects move forward in the future. The Chinese marketplace remains pretty steady for us. We have a relatively low market share in China, and we seem to be holding that market share. The real trick in Asia, and the China JV in particular, is our ability to expand work outside China into other markets like the Vietnam contracts we've signed in the last couple of quarters.
Robert Labick - CJS Securities, Inc.: Okay, great. And then switching gears to capital allocation. Obviously, you've continued to buy back stock. Could you just also update us on the acquisition environment there and your expected priorities over the next 12 to 18 months for cash flow?
E. James Ferland: Well, we expect to remain opportunistic in the market from a share repurchase standpoint, just like we've been in the first half of the year. From an M&A standpoint, you'll notice we didn't talk an awful lot about that today on the call. That said, we continue to look for opportunities in the marketplace. But we're being pretty conservative and we're being pretty careful as we evaluate those opportunities and look for some specific ones to move forward with.
Operator: Your next question will come from the line of Steve Fisher of UBS.
Steven Fisher - UBS Investment Bank, Research Division: Nice awards on the Nuclear Operations side. I guess I'm wondering, is there any change in the margins there in the backlog compared to what you're reporting now? And how do these awards affect what your typical Q4 bookings pattern looks like?
E. James Ferland: On Energy, we're not seeing any change in margins on Energy. We continue to guide folks to the high teens. In that area, I know we've been running a little bit better than that, in the low-20s, but the contracts that we're signing -- that we have signed are very much in line with past contracts.
Anthony S. Colatrella: The only thing I would add is, just as a reminder, the contractual margins are typically a bit lower, and the name of the game is really finding ways to take cost out. And we have an incentive to do that, and we share that incentive with the customer and get it to both party's benefit. So when we look at the performance of the business, what we can say is that the business is performing very well. The factories are performing well. We continue to smartly procure material. And that's helping us to achieve the kind of margin performance we have now for several consecutive quarters.
Steven Fisher - UBS Investment Bank, Research Division: Okay. And then Jim, I know you mentioned the process for negotiating a deal with mPower is complex. What are the chances, would you say, that you could get a deal done this year? Or is that more a 2014-type timeframe?
E. James Ferland: We continue to -- a, we've had an awful lot of interests from partners, and we continue to dialogue back and forth with a number of partners. I would like to get a deal signed in 2013, if we could. I think it's probably going to take us into 2014 to get that done. We have had an awful lot of interest, and the number of interested parties continues to slowly grow, primarily driven by, I mentioned specifically, the small modular reactor mentioned in President Obama's climate action plan. There's been an awful lot of press, particularly in the U.S., around mPower. If you get a chance, there was a Fox segment that ran on small modular reactors, and the entire discussion centered around B&W's mPower program, so we continue to generate a lot of interest. But it is relatively complex to work through the issues around scope, risk and liability. And that's what takes the time.
Operator: Your next question will come from the line of Rob Norfleet with BB&T Capital Markets.
Robert F. Norfleet - BB&T Capital Markets, Research Division: Just a quick question. In terms of Technical Services, what other opportunities are you seeing in the market in terms of RFPs that are out there? I know we've talked about Sandia before. Are there any other glaring opportunities that you're looking to bid on?
E. James Ferland: Sandia remains an opportunity for us looking forward. It seems to continue to slide out quarter-to-quarter. But it's large enough that it certainly has all of our attention in the industry. Nothing else jumps off the page. If you look solely inside the DOE world, we continue to look for opportunities to expand TSG beyond the traditional DOE environmental work scopes that we have today. Optional markets would include some international opportunities, as we've mentioned before, or perhaps some DOD-type opportunities. So we continue to look for best chance for us to enter those markets over the next couple of years.
Robert F. Norfleet - BB&T Capital Markets, Research Division: Okay, that's helpful. And my follow-up is kind of an old subject regarding USEC. The company recently received some additional funds from the DOE on the RD&D contract that they're working under. Can you discuss what role that B&W is still playing with the American synergies project? And then maybe just discuss in terms of the obligation for the release of additional proceeds under the original $100 million commitment that you gave -- you and Toshiba gave years ago?
E. James Ferland: Okay. So today, we have 2 roles, if you will, in USEC, as it exists today. Number one, we have an outstanding equity investment that is still on the books for roughly $90 million in USEC. And number two, we continue to operate USEC's manufacturing facility that's making the centrifuges that are currently being tested. We would expect, going forward, assuming USEC finds a way to put together money, customer interest and government funding, we would expect to continue to operate that manufacturing facility for USEC in the future. As to the original $100 million that B&W had committed to invest in USEC, of which I believe we invested $35 million...
Anthony S. Colatrella: $37.5 million.
E. James Ferland: $37.5 million in the initial tranche, we are not under obligation to invest the rest of that at this time.
Operator: Your next question will come from the line of Brian Konigsberg from Vertical Research.
Brian Konigsberg - Vertical Research Partners, LLC: Jim, just kind of following on to the commentary you had regarding Obama's discussion in regard to coal -- well, really, I guess, greenhouse gases and the future of the U.S. power market. So I'm just curious. I mean, it does seem like it will spur additional coal closures, and I assume that a lot of utilities are still kind of evaluating it. But do you see, relative to last quarter, a change in the willingness to proceed with retrofits while that evaluation is taking place? So I'm just curious, has that trajectory that we saw kind of smoothed out or kind of moderated, given that discussion?
E. James Ferland: We haven't seen a slowdown in utility decision-making directly tied to the President's climate action plan. Utilities have an awful lot of variables they need to consider as they think about investing in environmental upgrades. Some of them are environmental-driven, MATS, timing of CSAPR, perhaps timing of some CO2 regulations in the future. But just as importantly, they're looking hard at individual situations with regulators in various states. So again, they have an awful lot of variables. We haven't seen any change in timing directly as a result of the latest CO2 greenhouse gas push.
Brian Konigsberg - Vertical Research Partners, LLC: Okay. And then just separately, on the Nuclear Energy business, so I think previously, the kind of discussion was that you're pushing into the U.S. It's initially going to be a fairly competitive market. You did have a very good margin in the second quarter. I'm just curious, has your view on your ability to penetrate not as detrimental to the margin profile as you previously thought? Or perhaps, you're just going to make much headway in Q2? I'm just curious on how that transpired and how you see that going forward.
E. James Ferland: We continue to look for opportunities to grow the Nuclear business into the U.S. market. It's a bit of an uphill climb. It's a tough market to break into. It is a very tight market, especially with 4 nuclear units out of the 104 coming offline, not to return, in the last 6 months. So it remains a little tough to get into. And we would expect it to be, from a timing perspective, a little bit up and down. An awful lot of these contracts are medium-sized or larger, and they tend to come in bunches for us. So timing is going to be a little bit tough. Just in general, in the Nuclear business primarily -- it remains primarily a Canadian business for us. Simply, timing in Canada is there's not an awful lot of nuclear units coming offline to do work right now. And for the next 2 to 3 quarters, we would expect the opportunities in the Nuclear business, particularly in Canada, to pick back up end of 2014, beginning 2015. And the intervening time is going to be a little up and down in that business.
Brian Konigsberg - Vertical Research Partners, LLC: Okay. If I can just sneak one last question, I apologize. You just talked about nat gas, so the percentage of coal fleets running came down quite a bit year-over-year. So nat gas prices, obviously, have been coming down over the last couple of months. Do you anticipate your Parts and Service business on the coal fleets will moderate along with those prices? Or do you anticipate still to remain fairly solid?
E. James Ferland: Yes, so we -- as natural gas price came up year-over-year, we did see the percentage of electricity generated in the U.S. from coal jump from 35% to roughly 39%. And then we did see a little bit of a corresponding increase in certain of our PGG businesses. As gas has come down a little bit in the last couple of months, we haven't seen a falloff at this point. Unless gas falls down below $3, I would expect to see the coal plants continue to dispatch in front of the natural gas plants. So we haven't seen a significant change at this point.
Operator: Your next question will come from the line of Chase Jacobson from William Blair.
Chase Jacobson - William Blair & Company L.L.C., Research Division: I had a question on GCI. So you were able to find more savings there pretty quickly, but you didn't change the estimate of what the cost would be over the next few years. Does that mean that you're exceeding your cost -- I'm sorry, that you're beating your cost estimates compared to what you originally thought? And not to downplay the fact that you did increase the savings, but do you think that there is room to find more like you recently did?
E. James Ferland: So we have increased the estimated saving range. On an annualized basis in GCI, from 40 to 50, we increased it to 50 to 60. I would hope that there's additional opportunity going forward. We're trying to do 2 things with GCI. One is drive short-term operational efficiency, for sure. But we're really trying to change the culture inside the company to continuously look for opportunities to get better and to drive margin. And we're beginning to see that impact. Thus, the increase in the number of GCI dollars we see in '14, '15. As to your question on cost, we've been able to implement these cost savings, including the $50 million to $60 million range, within our original cost estimate. So it's not going to cost us any more to get these additional savings.
Anthony S. Colatrella: Yes, slightly better performance, I would say. And also, areas -- we are looking more deeply at areas that are not so much labor-intensive, such as procurement, in order to drive some savings as well.
Chase Jacobson - William Blair & Company L.L.C., Research Division: Okay. And then on the bid pipeline, was the $2.5 billion number that you gave, was that Power only? And maybe tying into that, how does your extension on Y-12 and Pantex impact at all your positioning or strategy towards going after other DOE sites like Sandia, which I think you previously indicated that you could expect an RFP sometime later this year?
Anthony S. Colatrella: Okay, well, I'll handle the first question. Yes, the $2.5 billion bid pipeline is strictly PGG. And it's been relatively steady over that period of time. The second question you asked was more about the DOE and the impact of Y-12, and I think Jim's better-positioned to answer that one.
E. James Ferland: Yes. We have seen the Sandia procurement continue to push out. An awful lot of the background work getting ready for the Sindia procurement's already been done. So the delay in Y-12/Pantex really doesn't impact our positioning or our probabilities on Sandia, as far as we can see.
Operator: Your next question will come from the line of John Rogers from D.A. Davidson & Company.
John B. Rogers - D.A. Davidson & Co., Research Division: Just a little bit of clarification, if I could. In terms of the PG&G margins that you talked about being at the lower end of the 9% to 11% range this year, with GCI, does that range change potentially for 2014?
Anthony S. Colatrella: I think the short answer -- first of all, let me just clarify. The range that we've given is 9% to 12%. We'll be in the lower half of the range. Rather than 9% to 11%, it's 9% to 12%. And yes, there could be a slight impact next year, but again, the market conditions are competitive. And we're at a point in the cycle where we don't have as many project closeouts. So to answer the question, there could be some improvement, but I wouldn't expect it to be dramatic.
John B. Rogers - D.A. Davidson & Co., Research Division: So the $50 million to $60 million in annual savings, I mean, I'm just trying to understand how and when we're going to start to see that offset sort of the market conditions. And it sounds like it'll be more on the government side of the business, and at least in the near term?
Anthony S. Colatrella: No, it's corporate. It's in the Nuclear Energy group, and certainly, a fair share of it is also in PGG. So it's spread out.
E. James Ferland: I would say, even in 2013, where we had projected a number of $10 million to $15 million, and I think we're solidly in that range, some of that savings has dropped into the bottom line, and some of it is, honestly, offsetting some tough market conditions. Going forward on GCI, again, we haven't done too much yet on the facilities and manufacturing side. We're still in the planning process on that. We'd expect those dollar opportunities or those dollars savings to drop to the bottom line late 2014, early 2015. So there's a little bit of a timing issue here on GCI as to when you're really going to see it hit the margins.
Anthony S. Colatrella: And the manufacturing improvements Jim referred to will impact the commercial segments.
John B. Rogers - D.A. Davidson & Co., Research Division: Okay. I appreciate that. And one other question, if I could. Jim, in terms of your comments on the acquisitions, could you maybe give us a little bit more color on the market segments that you're looking at?
E. James Ferland: We've had a little discussion on that before. We certainly -- I think we have a good handle on our core competencies and what we're good at. We tend to play in the high-technology sector. We're strong in the energy and the defense markets. We're very good at large integrated project management, so long as we stick to our knitting and what we're very good at. And we have a good relationship -- long-term relationship with the U.S. government. So there's a list of some of our core competencies in place today. As we look at various acquisition opportunities, which we continue to filter through, and we're pretty conservative and making sure that we find something that's truly going to add value to the shareholders, and it's a better deal for the shareholders than simply buying back our own stock. We're going to look in those areas where we're good. And I just walked through what I think our core competencies are. So that's very much where we're focused. If there's one unifying theme to all of our core competencies, or even if you look inside the various businesses that we have today, is we have a bit of a precision manufacturing angle. Most of the businesses that we're in where we're performing well, we do some sort of high-tech engineering-based precision manufacturing. And we would tend to stick to our knitting there as well as we look for opportunities to grow.
John B. Rogers - D.A. Davidson & Co., Research Division: And any preference, private versus public sector, at this point, or it just depends on the opportunity?
Anthony S. Colatrella: I think it depends on the opportunity.
E. James Ferland: I'd agree with that.
Operator: Your next question is a follow-up from the line of Will Gabrielski from Lazard.
Will Gabrielski - Lazard Capital Markets LLC, Research Division: I'm wondering, Tony, can you talk about cash generation through the rest of the year and what you're expecting there? And any additional, maybe, working capital efficiencies you guys are pursuing?
Anthony S. Colatrella: Sure. Well, I've said this before, but just to be -- just to sort of make sure we're clear on this, we are heavily back-end loaded, typically, in our cash generation. There's some government retainage that frees up in the fourth quarter, typically, of each year. So the fourth quarter of every year is really the strongest quarter for us cash flow-wise. A couple of quarters ago, I think the question was raised, and I said that I thought that our cash -- free cash flow for the year would be in the range of $125 million to $150 million. We're still comfortable with that range, and I would tend to say, right now, more likely at the higher end of that range for the full year. And you can do the math to sort of extrapolate where we are year-to-date, Will, in order to get to that -- those full year numbers.
John B. Rogers - D.A. Davidson & Co., Research Division: And just to be clear, that $125 million to $150 million, that also includes your cash pension contribution, is that correct?
Anthony S. Colatrella: Correct. Plus net of those contributions, right.
Will Gabrielski - Lazard Capital Markets LLC, Research Division: Sorry, right. So net of the cash that also goes out the door. Okay. And then on the Nuclear Energy segment, I guess, in general, you're talking not a lot of great visibility in Canada in the near term and you're pursuing opportunities in the U.S. But I'm also wondering around the long-term plan for that business. Do you just continue to go as it is? Or do you look to add pieces to that business?
E. James Ferland: We could. Yes, a couple of comments on the Nuclear Energy business. One is, we could add some pieces to that business. If we were going to do that, again, we'd tend to look to the engineering and the high-tech, higher-margin sectors of the nuclear marketplace, could be opportunities in the U.S., could be opportunities in the rest of the world, one. And number two, long run for the NE business is going to be very tied to the success of mPower. The NE business will be doing the manufacturing for mPower of the module itself, and the NE business will be making the fuel for mPower going forward. So there's quite a tie and an upside opportunity in the Nuclear business to our success with the mPower SMR.
Will Gabrielski - Lazard Capital Markets LLC, Research Division: Okay. And then one last one, Tony. Unallocated corporate expense, excluding the GCI costs that we back out, how is that going to trend, would you say, over the next few quarters? Is there still more to go there in terms of savings? Or have we found maybe the level we're going to be at?
Anthony S. Colatrella: You said excluding or including...
Will Gabrielski - Lazard Capital Markets LLC, Research Division: Excluding. Yes, excluding the variable GCI.
Anthony S. Colatrella: Excluding the [indiscernible], got it. Yes, I think they'll be flat to possibly slightly trending downward. But a number of the actions that we've taken already have impacted the core -- have involved some actions at the corporate office. There's nothing major planned that I'm aware of as you look out over the next couple, 3 quarters. So it should be relatively flat with where we are today and not too much change.
Operator: At this time, we have no further questions in the queue. I'd like to turn the call back over to Jenny Apker for your closing remarks.
Jenny L. Apker: Thank you for joining us this morning. That concludes our conference call. A replay of this call will be available for a limited time on our website later today. Also available on our website is a company overview with additional information that will be shared with investors and analysts during various meetings throughout the quarter. Thanks. Goodbye.
Operator: And ladies and gentlemen, thank you for your participation in today's conference call. This concludes the presentation, and you may now disconnect.